Operator: Ladies and gentlemen thank you for standing by. My name is Brent and I will be your conference operator today. At this time, I would like to welcome everyone to Visteon's First Quarter 2023 Results Conference Call. All lines have been placed on mute to prevent any background noise. After the speakers' remarks, there will be a question-and-answer session. [Operator Instructions] Thank you. It is now my pleasure to turn today's call over to Mr. Ryan Wentling, Vice President of Investor Relations and Treasurer. Sir please go ahead.
Ryan Wentling: Good morning. I'm Ryan Wentling, Vice President of Investor Relations and Treasurer. Welcome to our earnings call for the first quarter 2023. Please note that this call is being recorded and all lines have been placed on a listen-only mode to prevent background noise. Before we begin this morning's call, I'd like to remind you this presentation contains forward-looking statements within the meaning of the Private Securities Litigation Reform Act of 1995. Forward-looking statements are not guarantees of future results and conditions, but rather are subject to various factors, risks, and uncertainties that could cause our actual results to differ materially from those expressed in these statements. Please refer to the page entitled Forward-Looking Information for additional details. Presentation materials for today's call were posted on the Investors section of Visteon's website this morning. Please visit investors.visteon.com to download the material if you have not already done so. Joining us today are Sachin Lawande, President and Chief Executive Officer; and Jerome Rouquet, Senior Vice President and Chief Financial Officer. We have scheduled the call for one hour and we'll open the lines for your questions after Sachin's and Jerome's remarks. Please limit your questions to one question and one follow-up. Thank you for joining us. Now I will turn the call over to Sachin.
Sachin Lawande: Thank you, Ryan and welcome to the Visteon team. Good morning everyone and thank you for joining our first quarter 2023 earnings call. H2 provides a summary of our results for the first quarter. The company continued to execute its growth strategy well starting the year on a strong note. First quarter sales were $967 million, an increase of 22% year-over-year excluding currency compared to a 6% increase in global vehicle production. The outperformance in sales was mainly driven by the strength of our product portfolio, which continues to benefit from the industry shift to digital and connected cockpit experiences. Our sales have now outperformed industry vehicle production for 16 consecutive quarters. Adjusted EBITDA was $99 million or 10.2% of sales an increase of $28 million when compared to last year. Our global team continues to demonstrate excellent operational and commercial discipline and deliver exceptional results despite the challenging industry environment. Proactive engagement with customers and suppliers helped us mitigate the impact of semiconductor shortages and was a critical factor in driving our overall performance in the quarter. Adjusted free cash flow followed historical patterns and as anticipated was a negative $37 million in the quarter. On the operational front the company had a busy quarter with our products launching in 34 new vehicle models which will help us to continue our sales growth in the near term. The company also had a strong start to the year with $1.5 billion in new business wins for the first quarter. This puts us on track to achieve our full year goal of $6 billion in new business wins. We continue to make good progress in our electrification business in the quarter with the extension of our existing BMS business to support additional electric vehicle models with existing customers and signing strategic joint development agreements for new technology with key car manufacturers. In summary, the company had a strong start to the year and it puts us in a good position to achieve the full year guidance targets that we have provided earlier this year. Turning to page three. Q1 industry vehicle production volume was up in all regions of the world, except in China which was down due to a mix of demand pull ahead in Q4 of last year, due to expiring incentives and weaker consumer sentiment. Visteon customers fared better than the general industry in Q1, with vehicle production at our top customers growing 9% year-over-year compared to 6% for the industry. Europe led the growth, on account of a strong order backlog, coupled with improved supply of semiconductors.  Consumer demand in the US was also robust, driving double-digit vehicle production growth compared to prior year. And while vehicle production was down in China, it was offset by production increases in the rest of Asia. Semiconductor supply, which has been the primary supply constraint in recent years continues to improve gradually. In Q1, the number of chips that were in critically short supply and impacting production, was less as compared to prior quarters. However, even with the improved supply there are still a number of key semiconductors that are below current demand, causing growth to be muted.  Nonetheless, the improved supply enabled the industry to build more cars in Q1, than was initially anticipated. Semiconductor pricing however, remained at elevated levels in Q1, despite the improvement in supply. Visteon sales benefited from higher customer vehicle production as well as the ramp-up of recently launched products. In addition, to the improved chip supply, our recent product redesigns to use alternate chips, mitigated supply shortages of critical components. Our sales also benefited from the recovery of higher supply chain-related costs, that we had to share with our customers. Overall, the first quarter was positive in terms of consumer demand and vehicle production, that was helped by improved semiconductor supply. The actions we have taken to mitigate impact of semiconductor supply have enabled us to ramp up production of new products quickly and drive faster than market sales growth in the first quarter. Turning to Page 4. Our digital cockpit products did well in Q1, continuing the strong performance from prior quarters. When excluding the favorable year-over-year impact from net pricing and the unfavorable impact from foreign exchange, Visteon sales in Q1 grew 20% year-over-year. Our cluster sales growth was driven by the ramp-up of recent digital cluster launches with GM, Volkswagen and Nissan on some of their high-volume vehicle lines. Despite the high growth. it was still muted due to the constraint in supply of a key microcontroller used in several digital cluster products. We are working on a redesign that will help mitigate the impact going forward. Our cluster business continues to shift more towards all digital systems. And in Q1, shipment of digital clusters exceeded that of hybrid clusters for the first time. Overall, industry penetration of digital clusters is much lower at about 25%, which provides substantial runway for future growth. Our SmartCore products also did well in Q1, with sales growing at all customers and particularly with Geely and Mahindra, due to ramp-up of recent launches on new vehicle models. The success of SmartCore in India with Mahindra, is a good indication of the growing interest in high-performance cockpit systems for mid-segment vehicles. While we have launched several new displays recently with multiple car manufacturers, in the near term our displays business is impacted by the roll-off of our business with BMW, which was first launched in 2018. As a result, we expect our display business revenue to be down this year, before starting to grow again from 2024 onwards, all of which was factored into our full year guidance. Lastly, sales of our infotainment and audio systems also did well in Q1, on account of improved semiconductor supply that helped us in our business with VW and Stellantis. Overall, demand for our digital cockpit products was strong in the first quarter. The improved semiconductor supply and the recent product redesigns, helped in narrowing the supply gap resulting in a strong quarter of product sales for the company. Turning to Page 5. We started the year on a strong note with $1.5 billion in new business wins in the first quarter. The combination of the strong start, and a robust pipeline of opportunities across all core products, positions us well to achieve our full year target of $6 billion in total wins. The composition of the first quarter new business wins, reflects the current focus of the industry, on the electrification of the power train and connected in digital experience in the cockpit. We have highlighted a few wins on the right of the page. We added two more vehicle models to our SmartCore business with a Chinese OEM. High-performance computing in the cockpit is becoming increasingly important for market competitiveness and especially for electric vehicles. These systems were launched within 12 months, which is very ambitious for systems of this level of complexity. We also added a new customer for our stand-alone Android-based infotainment business in India. With the addition of App Store and OTA capabilities, we are very competitive in the discrete infotainment product segment for mass market vehicles, especially in emerging markets. Lastly, we added more electric vehicle models, to our wireless BMS product line with an existing global customer's North American brands for launch in 2024. This win extends the program on several new vehicles, including electric versions of the OEM's flagship full-sized SUVs and trucks. These additional vehicles are scheduled to go into production later in 2024 and in 2025, and across multiple brands in North America. The wins we have highlighted are a good example of the platform approach to sourcing that OEMs are increasingly taking for their electronic systems. The increased complexity in the shorter product introduction time lines, make it more attractive to develop systems that can work across multiple vehicle models. On the following slide, I would like to spend a few minutes discussing the progress we have made in our electrification business and the momentum we are building in this area. Turning to page six. The automotive industry has seen a rapid growth in sales of electric vehicles in the past three years and in the first quarter of this year, battery electric cars made up about 10% of all passenger vehicle sales for the first time. Car manufacturers are responding to this trend by rapidly launching new electric vehicle models. Visteon's strategy in electrification is to help carmakers build battery electric vehicles that offer superior range in charging performance, through innovation in BMS and power electronics. This slide summarizes the progress we have made in building momentum in our electrification business over the past couple of years. We introduced the first wireless BMS system in the industry in 2020, and have continued to develop advanced features to improve measurement accuracy and safety, while supporting the latest battery chemistries and cell configurations. In total, we have added three car makers to our customer portfolio for this first generation of wireless BMS system, and have won over $5 billion in business across 24 new vehicle models that are just starting to launch. These wins will keep our team busy with upcoming launches and will generate significant revenue for the company for the rest of the decade. While the first-generation electric vehicles are using 400 volt battery systems, the past two years has seen an increased interest in the use of higher voltage battery systems to reduce charge time and for other benefits. In addition to upgrading our BMS technology to support 800 volt batteries, we have also added power electronics products to our portfolio, focusing on bidirectional grid to cell charging and power conversion for high-voltage systems. Our goal is to facilitate the shift of the industry to 800 volt and higher battery systems, which we believe will help accelerate the shift to electric vehicles with a broader set of consumers. Earlier this year, at the Consumer Electronics Show in Las Vegas, we showcased our latest BMS system and new power electronics technologies with support for both 400 and 800 volt configurations. Since then, we have signed a joint development agreement with a high-volume car maker in Asia to co-develop their next-generation BMS solution that's targeted for launch in 2025. We have also signed an agreement with a luxury car maker in Europe to develop a prototype of a highly integrated on-board charger and multiple DC-to-DC converters to power their next generation of electric vehicles. These joint development programs validate Visteon's technology capabilities and electrification and positions the company well to win future business. In addition to these advanced technology development initiatives, we are in discussions with multiple car makers to develop 800 volt version of BMS systems for market introduction in the 2025-'26 time frame. I expect the company to announce additional customers in business for electrification, through the rest of the year. I'm very pleased by what the team has been able to accomplish in electrification, and I'm excited for what is to come. Turning to Page 7. The first quarter was busy for Visteon from an operational viewpoint. The company launched its products in 34 new vehicle models across the world in the first quarter which is an incredible achievement for the team. Every new launch requires customization of the product to fit the unique requirements of each vehicle end market in addition to ensuring sufficient supply of critical components like semiconductors to support customers' dynamic production plans. As more of our business is becoming platform-based and across multiple vehicle models we have decided to highlight the number of product launches across all vehicle models instead of just the initial launch which provides a more complete correlation to revenue contribution from the program and demonstrates our operational execution in the delivery of the products. We have highlighted a few key product launches to demonstrate the extension of programs that contribute to the growth of our sales. We launched our 12-inch digital clusters in heavy-duty versions of Chevy Silverado and GMC Sierra trucks with GM. These vehicles follow the other SUVs and trucks that we have already launched our 12-inch cluster in previously. Our digital cluster business has grown rapidly over the past two years with GM and these launches will continue this performance in 2023. We launched our digital cluster and audio system for the 2023 Ford Ranger for Latin America which is a mid-size truck that's popular in the region. In China, we launched a SmartCore cockpit domain controller on the Zeekr electric vehicle from Geely in partnership with ECARX and a digital cluster on the Honda eNP1 also in electric vehicle. About 20% of our new launches were on electric vehicles reflecting the increased focus on EV model launches at car makers. Turning to Page 8. Our outlook for full year vehicle production at our customers remains unchanged with production volumes growing at low single-digit level. We expect semiconductor supply will continue to improve although some chips will remain tight throughout the year. As mentioned previously, our goal is to redesign and use alternate chips where necessary and our objective is to not be limited by chip supply in the second half of the year. Consumer demand in U.S. and Europe has been encouraging thus far and we expect that this demand will remain strong in the near term. With the economy improving in China we expect consumer demand to also improve in the region. At the same time the potential risk to consumer demand arising from high financing rates coupled with higher vehicle prices that we incorporated in our 2023 guidance remains. Our solid Q1 results and the robust near-term demand we are seeing from customers gives us confidence in our outlook for the rest of the year and we are reaffirming our full year 2023 guidance. Turning to Page 9. In summary, the company executed well in the first quarter to deliver our 16th consecutive quarter of sales growing faster than vehicle production. Our disciplined execution of the company's operational and commercial plans resulted in strong sales growth of 22% excluding currency and adjusted EBITDA margin of 10.2%. New product launches and new business wins in the first quarter were in line with our expectations and puts us on track to achieve our goals for the full year. And lastly, we made good progress in our electrification business in the first quarter by adding more vehicle models to existing programs and engaging with new customers for future business. Now, I will turn the presentation over to Jerome, to review the financial results. 
Jerome Rouquet: Thank you, Sachin and good morning, everyone. Visteon's first quarter financial results came in strong, with our focus on commercial and operational discipline continuing to drive results. Excluding exchange, Q1 sales grew 22% versus prior year benefiting from an increase in customer volumes, a double-digit market outperformance and higher customer recoveries.  Compared to customer vehicle production volumes, growth of a market net of pricing was 11% representing our 16th consecutive quarter of growth of our markets. Semiconductor supply continued to improve in the quarter, with a number of parts in critical shortage decreasing significantly from the fourth quarter of last year. As a result, the amount of semiconductors purchased through the broker and distributor sport market channels decreased. However, we continue to see elevated prices from our Tier 2 suppliers which we are sharing with our customers. Compared to prior year, we were able to finalize more customer negotiations in Q1 this year, which increased sales while reducing the impact to adjusted EBITDA. Although, this was a large year-over-year improvement, the net leakage in the quarter still negatively impacted adjusted EBITDA by a few million dollars. Adjusted EBITDA was $99 million, representing a 10.2% margin. Compared to prior year, EBITDA benefited from higher sales and the favorable timing of customer recoveries secured in Q1, partially offset by increases in net engineering and SG&A expenses supporting our growth. Adjusted free cash flow was negative $37 million, in line with the cash outflow we've experienced in Q1 of last year, partially driven by the increased 2022 incentive compensation paid out in Q1, as well as the cash timing of customer recoveries negotiations that settled late in the quarter. We ended Q1, with total cash of $487 million, representing a net cash position of $135 million and a net leverage ratio of negative 0.4 tmes. In total, our Q1 results provide a strong foundation for the rest of the year, and keep us on track to achieve our full year guidance of sales growth, margin expansion and cash flow generation.  Turning to Page 12. Page 12 provides more detail on our sales increase and margin expansion for the quarter. Q1 sales were $967 million. When excluding the impact from customer recoveries, base sales came just under $900 million, representing an increase of $126 million year-over-year.  Compared to prior year customer vehicle production volumes increased 9%, driven by improved semiconductor supply as well as strong customer demand in both North America and Europe, which more than offset the slow start of the year in China. Foreign exchange was a modest headwind to sales of 4%. The remainder of the growth in base sales, was driven by high demand for our digital cockpit products. Our strong new business wins in the past few years, continue to convert into product launches, which will continue to drive increased sales. These programs are typically launched on OEM platforms, across multiple vehicle lines and continue to grow our sales, as follow-on model launches are brought into production on new vehicles and in additional markets. Customer recoveries, which are illustrated by the dotted boxes increased on a year-over-year basis. Despite the improving supply dynamic, we're still confronted with increased costs from our Tier 2 suppliers, impacting semiconductor and non-semiconductor purchases. We continue to actively work with our customers to share these higher costs, which are leading to higher recoveries on a year-over-year basis. In addition, we also benefited this year from favorable timing, as we were able to close out more customer negotiations earlier in the year. Finally, spot purchase recoveries were essentially flat year-over-year at $25 million, but decreased approximately 75% on a sequential basis due to the improving supply from our Q2 suppliers. Adjusted EBITDA increased $28 million, driven by the flow-through on higher base sales and the favorable timing of customer recoveries in 2023, which decreased the net cost impact from elevated semiconductor and other inflationary costs. Net engineering was higher by $8 million, compared to prior year primarily driven by the timing of engineering recoveries. As a percentage of sales, net engineering was 5.8% in the quarter and tracking in line with our full year expectations. Adjusted SG&A was up $7 million, primarily due to personnel costs, investment in IT and bad debt partially offset by foreign exchange. As a percentage of sales, Q1 adjusted SG&A came in at 4.6% flat compared to prior year. Our cost discipline and increasing scale continue to allow us to leverage our fixed cost, while investing in the business. Compared to our expectations, Q1 came in slightly better than anticipated, primarily due to higher production volumes and the favorable timing of when we were able to finalize customer negotiations. In Q2, we currently anticipate that industry production volumes will be flat to modestly up compared to Q1, and therefore, we expect Q2 financial results to look fairly similar to Q1. Turning to page 13. We maintained one of the strongest balance sheets in the industry, which positions us well to grow the business and provide flexibility on our capital allocation opportunities. We ended the quarter with total cash of $487 million, representing a net cash position of $135 million with a net leverage ratio of negative 0.4 times. At our recent Investor Day, we announced a $300 million share repurchase program that runs to the end of 2026. The amount of repurchases will depend on several factors including cash flow generation, as well as other industry dynamics. In Q1, adjusted free cash flow was an outflow of $37 million similar to the outflow we had in Q1 of last year and in line with our expectations for the quarter. Working capital was an outflow, primarily driven by the timing of customer recovery negotiations. Since many of the negotiations were finalized late in the quarter, we saw an imbalance between AR and AP balances, which we anticipate will normalize throughout the remainder of the year. Inventory was a slight outflow of $5 million. Cash taxes were elevated in the quarter versus prior year due to the cash payments related to increasing profitability in some countries, which was contemplated in our original cash flow guidance. Interest payments remained low and primarily relate to our $350 million Term Loan A that matures in 2027. The outflow in other changes was primarily driven by the company's annual incentive payout, which occurred in March. This was partially offset by the favorable timing in VAT taxes and other changes in assets and liabilities. CapEx was $21 million in the quarter. We expect this number to increase throughout the year in line with our full year guidance, which reflects our ongoing investments in manufacturing and electrification. Turning to page 14. Visteon remains a compelling long-term investment opportunity. We have positioned the company for top line growth, margin expansion and free cash flow generation, while our strong balance sheet continues to provide significant flexibility. As Sachin mentioned, our solid start of the year gives us confidence in our 2023 guidance and we are on track to achieve those targets. Thank you for your time today. I would like now to open the call for your questions.
Operator: [Operator Instructions] Your first question is from the line of Tom Narayan with RBC. Your line is open.
Tom Narayan: Hi. Thanks for taking the question. Curious if you could just give us maybe a sense of the guidance. There's a range there. Given the performance in Q1 just wondering if you would consider -- should we consider the upper end of that range as kind of what you're looking for, or could we interpret the results, as potentially signaling maybe slightly -- slight downshift perhaps for your expectations in the remainder of the year? Thanks.
Jerome Rouquet: Thanks Tom. It's Jerome. It's a good question. So let me take that one. I would start by saying that we are very pleased with the way the quarter developed indeed with EBITDA very close to $100 million. Industry volumes were slightly better than original forecast -- originally forecasted. But I think more important is the fact that we were able to close much more deals with customers on recoveries that we had originally anticipated and that helped the quarter. We had originally anticipated that a lot of these deals would drag into Q2 and that was not the case. We were early in the process this quarter and able to close a lot of these deals. So it's important to state that nothing has fundamentally changed for the full year. We are still going to have the amount of recoveries that we had originally planned with a leakage of about $20 million for the full year. So that's unchanged. It's just timing between quarters. On the production side, yes, a little bit better production in Q1. We are still cautious, I would say about the second half of the year in terms of the demand. And therefore, we wouldn't change our guidance at this point. And then third, costs. Costs are tracking close to the midpoint of our guidance. So again, I would reconfirm the guidance at the midpoint as it is for now.
Tom Narayan: Okay. Thank you. And maybe you could give us kind of a sense of what you're seeing in China? We heard from a supplier earlier this morning some cautious tone on what's going on in the Chinese market.
Sachin Lawande: Yeah. Let me take this. Hi. This is Sachin. So vehicle production in China started slow in Q1 with January coming lower than prior year. And we talked about why that was the case. There was a pull ahead of sales towards the end of Q4, on account of some of the incentives that were about to expire. But since January and February and March the sales and production did recover in China. But overall, as a result of that, production was still lower year-over-year. We also had a negative customer mix in Q1. But despite that, our sales in Q1 if you exclude the effects of currency are essentially flat. And as we look ahead at the rest of the year, we believe that our sales will grow despite the overall environment from our customers' vehicle production to be still negative for us. We are benefiting from ramp-up of new product launches that we have introduced in the market over the last couple of quarters and that dynamic will continue through the rest of the year. So we expect overall for us in China to still experience growth despite the production environment not being a positive.
Tom Narayan: Okay. And if I may just sneak in the last one, there's certainly a lot of commentary on autos about OEM pricing coming down in the back half of the year or at least normalizing. Given the dynamics of your contracts that you guys have with your customers, is there any kind of negative read-through if that should happen? Or are those contracts already kind of fixed such that -- perhaps it's a positive right because it could mean higher volumes. Just curious as to your thoughts on how a weaker retail auto OEM pricing environment it affects your business? Thanks.
Sachin Lawande: Yeah. Sure. And this is by the way not something that is happening for the first time. This has happened before. And in automotive as you know our contracts tend to be long-term. So we do not necessarily benefit when the OEMs experience positive pricing. And we expect it to remain the same when it turns around and the pricing turns out to be more of a negative. So the industry is very competitive. We continue to have the same pressures in a good or a more challenging environment. And I don't expect that to change this time either. But as you said, if the prices come down, if the volumes benefit from that we would see a positive benefit from that if that were to happen.
Tom Narayan: Thank you. I’ll turn it over.
Operator: Your next question comes from the line of Mark Delaney with Goldman Sachs. Your line is open.
Mark Delaney: Yes, very good morning. Thank you for taking the questions. The first one is a follow-up on the pricing discussion. You mentioned some good fixed asset getting recoveries in the first quarter. Maybe just to better understand, how much success you still need to have for the balance of the year with passing on inflationary costs in order to meet your guidance?
Jerome Rouquet: Yes. We've got a few deals that are open as I indicated on the slide, but nothing major. It's just a few customers. So we are – essentially we've recovered in Q1 close to $75 million recoveries, which is pretty much in line again with our full year outlook, it was $300 million. And the dynamic going forward will be that you'll see some spot buys going down. We had already a lower amount of spot buys in Q1 versus Q4, $25 million versus more than $1 billion in Q4. So you're seeing that decline and it will be partially offset by further surcharge recoveries or cost increase recoveries from customers. So overall we are tracking pretty well. There is still a little bit more to collect. I'd like to mention as well the fact that we had some level of catch-up in Q1 related to costs incurred in Q4, but it's no different from what we've seen in other quarters as well. So that's kind of a sharing effect, if I can call it like that as we go forward.
Mark Delaney: That’s helpful. Thanks. And other question was on power electronics and good to see the strong bookings momentum again there in the first quarter. At CES and in your comments today, you guys are also highlighting the newer power electronics products and power conversion. Maybe remind us if you could the content step-up when we sell that – potentially sell that broader set of power electronics? What does that look like relative to just selling BMS? And you spoke about proof-of-concept moving forward, I believe with one customer. Can you give us a sense now that you've been sampling and speaking to customers with that set of products, what kind of response you're seeing? And could you just speak about the longer-term opportunity that you see now evolving there? Thanks.
Sachin Lawande: Sure. So yes, so with respect to BMS – I'll start there and then talk about our electronics. We have previously said that the content ranges between $350 to $500 depending upon the number of cells that we have to manage which obviously then impacts the size of the battery. But when it comes to power electronics, I should again mention that our focus is really to focus on enabling the shift to 800-volt architectures for the battery, which requires higher power density as well as efficiency. And we are focusing on three product areas within that: the on-board charger; DC-to-DC converters; and the high-voltage junction box. Now depending upon the features that they are required to contain, they come in the range of prices. But all three together would typically amount to about $700 to $1200 in terms of content per vehicle. So that gives you a little bit of a comparison to how it would look versus BMS. The joint development agreement that we have with one customer that we talked about earlier is in Europe. And this particular product will have multiple DC-to-DC converters in addition to and on-board charger and also will require an ASIL level of safety because this DC-to-DC converters will need to provide power to ADAS systems. So it's a very complex product, has very high power density to support charging this higher capacity batteries and to reduce the charge time. And that's the area that we want to focus with respect to power electronics. There's a lot of what I would consider as more commodity power electronic solutions out there. But with the industry shifting to 800 volts, we believe that it creates opportunities for us to bring some technology innovations in this area, especially leveraging new semiconductor solutions and our system design and understanding that we can bring in order to achieve the specific requirements of products. So a very exciting area for us. But I should also mention that in terms of when we expect to see revenue contribution from this area it's likely going to be post 2025 so the second half of the decade. And we believe that it can be a business that is as big as BMS has been for us or is shaping up to be for us. So very excited about it overall. 
Mark Delaney: Thank you. 
Operator: Your next question is from the line of Dan Levy with Barclays. Your line is open. 
Dan Levy: Hi. Good morning. Thank you. I wanted to ask about your -- about the chip environment and your purchases specifically. On the last call, I think, you noted that in 2022 the issue was more on power and analog and this year the issue is a bit more on microcontrollers if I recall correctly. So just wondering how the shift in those constraints is impacting your pace of recoveries? And if that's still broadly the case that it's MCs that are more constrained than power and analog? 
Sachin Lawande: Yes. So it's a great indication of the volatility that still exists when it comes to semiconductor supply. The specific microcontroller that I mentioned was not an issue last year and there was I would say enough supply. Now with our demand also increasing the supplier was not able to keep up with demand and that is essentially what is the issue that we have here. As I mentioned our action in terms of mitigating that impact is to redesign that micro to use an alternative option that is also from the same supplier, but has higher supply availability. And that's going to help us mitigate, especially, in the second half impact of any reduction in supply. I do not believe that that is going to have a material impact on our ability to recover any of the extraordinary costs from the customers. They understand the situation and appreciate us being nimble and come up with alternatives that minimize the impact to their vehicle production. So I think it's going to be more normal business like we have already done in 2022 as well with the redesigns that we have launched. 
Dan Levy: Okay. Great. So the mix doesn't really impact the pace of recovery. Thank you. Second, GM noted on their call the other day that one of their plans on simplification to reduce the number of infotainment screen configurations by 60%. And I'm just wondering generally speaking just how wide the number of SKUs you have within the digital clusters and displays? And generally speaking is fewer SKUs good for you, or is it a neutral? Can you just talk about sort of proliferation and simplification? Thank you.
Sachin Lawande: Yes. That's a great question. And I think it is a reflection of how the industry has jumped on to these displays in the various configurations and are now experiencing a little bit of that fragmentation effect that is not helping supply and management of the various SKUs. So it clearly is something that is beneficial to us. We have been trying to drive standardization within the displays and try to bring the benefit of higher volume on a fewer number of SKUs. So we believe that the industry fundamentally can settle down on maybe three or four different configurations that will benefit from the standardization and the high volume that can be then following this approach. And our approach to that has been also to come up with more of what we would refer to as a platform solution for these products so that we can share more of the components across a greater number of customers. So the short answer to your question is it would be very helpful to us and the industry to reduce the number of variations that we have today in SKUs. 
Dan Levy: For input on design even if they're limiting the number of SKUs, there's probably little impact to you. I mean it's still you would still be fully responsible for design even if there's a more limited number of SKUs out there? 
Sachin Lawande: That is correct. So nothing changes other than just it makes -- or simplifies the management of the various variants. 
Dan Levy: Great. Thank you.
Operator: Your next question comes from the line of James Picariello with BNP Paribas. Your line is open.
James Picariello: Hi, everyone. Just on the recoveries you guided to the $300 million for the full year. You realized $73 million this quarter, which I believe came in better than expected with respect to your progress in negotiations with certain customers, if I heard that correctly. So should we be expecting a relatively smooth $75 million per quarter type recovery rate? And did any open market spot purchases take place this quarter? My apologies if I had missed that. 
Jerome Rouquet: Yes no problem. Good morning, James. Absolutely yes. I think the -- at this point, it can be a little bit lumpy, but we are seeing something to the tune of $75 million per quarter. We did incur some spot buys in Q1. $25 million was recovered which was in line with Q1 of last year but much lower than what we have seen towards the end of last year. We were at over $100 million in Q4 of last year. So, it's -- the spot buys are coming down. And then surcharge as I said, we are -- we've recovered a fairly large number of -- we've negotiated and closed a large number of deals in Q1. So there's still a few open but it will be offset by spot buys that we expect will be declining going forward. 
James Picariello: But if the surcharge recovery is happening faster and at a better rate that doesn't alter the full year view in any material way then in terms of recoveries? 
Jerome Rouquet: So faster, yes. At a better rate, it doesn't change essentially the EBITDA impact. It's still for the full year close to $20 million. So it's again, just timing between I would say, Q1 and Q2. We even had some deals last year that were closed in Q3. So I had indicated in Q4 that our earnings profile in 2023 would be similar to what we had seen in 2022. It probably will be a little bit more flatter, and will be more a function of sales and a function of engineering recoveries which are kind of the two big variables for our profit. 
James Picariello: Got it. And just on the latest BMS add-on award and relative to your electrification revenue target of $600 million by 2026, does this latest award alter that view in any way?
Sachin Lawande: Not really. No. We did anticipate that we would see extensions with this particular OEM. We had the initial award with them on a couple of vehicle models and more were to follow. So this is more a validation of our sort of patience in terms of the growth with this OEM on the BMS win. 
James Picariello: And if I could just squeeze one more. Share buybacks should we expect any execution of that authorization this year, or is that more of a 2024 and beyond dynamic?
Jerome Rouquet: We've announced the authorization in March. So our intent is definitely to be active in the market and it will depend on a variety of factors. So we will expect to see some share repurchases this year. 
James Picariello: Got it. Thank you.
Jerome Rouquet: Thank you.
Operator: Your next question is from the line of Luke Junk with Baird. Your line is open.
Luke Junk: Good morning. Thanks for taking the questions. For start session just wondering, if you can give us any more background and the follow-on award for where the BMS is this quarter? On the outside looking in it seems like in part this is a customer that you're helping to scale more quickly in EV, am I reading that right? And if I am -- if I look at other customers you're engaged with is there a similar basis there? Asking based on -- clearly there's some pressure on OEMs right now given the proposed CAFE standards in the US. I'm just wondering how that might impact your business in wireless BMS? Thank you.
Sachin Lawande: Yes. So this extension win that we talked about this quarter is really with a global OEM that has a fairly strong presence in North America. And it's for -- as I mentioned on the prepared remarks earlier, for some of their higher-end large SUVs and trucks. So, this is, I would say first look a great example of the platform strategy of awards that we have discussed previously where the development of the product occurs across multiple vehicle models at the OEM. So, we were anticipating to grow in terms of the number of vehicles we would have with this OEM. We are hopeful that more will follow. But we're very pleased to see how it is developing with them. And we have talked about our win and the number of vehicle models that we have with GM, which has also seen some extensions. It's good to see it's the same dynamic with this second OEM. So I would say that it is progressing as we had anticipated. It will keep us fairly busy over the next couple of years in terms of the number of launches that we have. Even though when we talk about it as a platform approach, the integration of any new product in a vehicle always is a fairly challenging task, especially for something like BMS, which is the brains, if you will, of the electric power train. So we would be I think, in a very strong position to help these OEMs achieve their near-term and mid-term targets in terms of the number of vehicle models that they have scheduled for launch. And I think that will continue to position us well with these OEMs for future growth as well.
Luke Junk: Thank you for that. And then for my follow-up, I'm going to zoom out to 10,000 feet here. I'd just love to get your perspective on where you think the underlying demand trend is in the business today relative to what you're reporting in revenue ex-pricing? Really thinking about that in two lenses: one is your ability to supply being the primary lens; and then second, just the level of demand that you're seeing real time in cockpit electronics versus volumes that are in your backlog or your execution when you book that business? Thank you.
Sachin Lawande: So the demand situation, I would say, is as follows. So Europe, as you know, they have a real order backlog there with people placing their orders ahead and deliveries happening later. So we entered the year with a very strong order backlog with most of our customers in Europe. And with the supply improving, we've been able to supply more and meet most of the demand although not all of it. So there is still some order backlog that needs to be fulfilled and also some catch-up to be done in terms of filling the pipeline of dealer inventories, et cetera as far as the European side is concerned. So we remain optimistic that at least in the near term Q2, we will continue to see pretty strong demand there. In North America, we would also say that the demand is pretty strong from our customers. It has more to do with the launches that we have and there are vehicle launches that we are supporting. And so that should remain pretty robust in the near term. China, we mentioned that we have a different dynamic with the customer production mix that is not favorable. But nonetheless our new launches there have been helping us in terms of our revenue growth. So now, the concern if any, which is what we have -- tried to also have shared in this discussion is how long does this demand last and whether we will continue to see this demand in the second half. We see no indication at this point that it should weaken but we are just watchful and therefore, we would continue to think of the full year in terms of the guidance that we have provided earlier and stay consistent with it for now.
Luke Junk: Thanks. I’ll leave it there.
Operator: Your next question is from the line of Emmanuel Rosner with Deutsche Bank. Your line is open.
Emmanuel Rosner: Thanks and good morning. So thanks for all the good color on the wireless BMS win -- follow on win. Can you maybe remind us -- when I look at the Slide 6 and the various wins and milestones accomplished. Can you just remind us the expected sequence of start of production or some of these announcements so far?
Sachin Lawande: Sure. So with respect to GM, we have already been in production with them since last year and this will continue with some of the launches that they have scheduled this year. And GM has also been public about their expectations of the volume that they have discussed on their call. So you'll probably have it directly from them and we'll be supporting those volumes in the near term. With respect to this extension, the second OEM that we talked about on this call, those launches are happening in the middle of 2024 and early 2025. And that's -- we talked about a couple of vehicle models previously. What this win adds is four more vehicle models. So there's going to be an addition to our 2024, 2025 launches. And so -- again, I would want to suggest that this was something new. We were anticipating this, but it's always good to be booking this business and we'll follow that up with a launch plan. So that's how this near-term 2023-2024 launch schedule is looking like. As we mentioned, we have about 24 vehicle models that we will be launching on with BMS in this time frame which will probably take us all the way to the middle of 2025 before most of these are launched.
Emmanuel Rosner: And the premium brands of the German OEM in terms of timing?
Sachin Lawande: That's also 2024.
Emmanuel Rosner: Okay. Understood. And I guess as a follow-up, I think -- in the early part of the presentation I think you suggested that the second quarter performance could be similar to the first quarter. Could you just help us out with a sort of like a high-level bridge of the puts and takes?
Jerome Rouquet: Yes. No, that's a good question. So there are three factors impacting Q2. First, we -- and you saw IHS being slightly up in Q2 versus Q1. So we think that volumes could be slightly higher, but I think IHS is up by 1.8% so nothing dramatic. So we still expect our sales to be slightly $1 billion for Q2. In terms of recovery, which is the second driver of profitability, we do expect to see a similar level of leakage in the second quarter versus what we've seen in Q1 with some customer deals as I said -- as you see that deals earlier, but all the deals are essentially retro 1st of Jan. So it doesn't really change the dynamic so much. And then the third item is the fact that our engineering costs will go up a little bit in Q2. And as you see throughout the last few quarters, we've been seeing some uptake on gross engineering. We are expecting as well some level of offset on the engineering recovery side, but we'll still be a slight negative. So in summary, maybe a little bit higher volumes offset by a little bit more engineering cost and then flat or neutral recoveries from an EBITDA leakage standpoint quarter-over-quarter. So that should give us an EBITDA in the 10% mark similar to what we've seen in the third quarter.
Emmanuel Rosner: That’s super helpful. And I guess just for the year overall in terms of cadence, do you see any specific pronounced cadence for the growth of the market I guess on a year-over-year basis?
Jerome Rouquet: So in terms of growth of our market which by the way is dependent obviously on the prior year's performance right it's a year-over-year calculation. We do expect that on account of the vehicle production being slightly maybe down in terms of year-over-year comparison that the growth of our market in the second half should be similar or slightly positive or higher compared to what we experienced in Q1.
Emmanuel Rosner: Thank you so much.
Ryan Wentling: Thank you. This concludes our earnings call for the first quarter 2023 results. Thank you everyone for participating in today's call and your ongoing interest in Visteon. If you have any follow-up questions please contact me directly. Thank you.
Operator: This concludes Visteon's First Quarter 2023 Results Earnings Call. You may now disconnect.